Operator: Good day ladies and gentlemen and welcome to the Ducommun Incorporated Fourth Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, this conference is being recorded. I would now like to hand the conference over to the moderator for today, Chris Witty. Please go ahead, sir.
Chris Witty: Thank you and welcome to Ducommun’s 2015 fourth quarter conference call. With me today is Tony Reardon, Chairman and CEO; and Doug Groves, Vice President and Chief Financial Officer and Treasurer. I would now like to provide a brief Safe Harbor statement. This conference call may include forward-looking statements that represent the company’s expectations and beliefs concerning future events that involve risks and uncertainties and may cause the company’s actual performance to be materially different from the performance indicated or implied by such statements. All statements other than statements of historical facts included in this conference call are forward-looking statements. Although the company believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to have been correct. Important factors that could cause actual results to differ materially from the company’s expectations are disclosed in this conference call and in the company’s Annual Report on Form 10-K for the fiscal year ended December 31, 2015. All subsequent written and oral forward-looking statements attributable to the company or persons acting on its behalf are expressly qualified in their entirety by the cautionary statements. Unless otherwise required by law, the company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, after the date of this conference call. I would now like to turn the call over to Mr. Tony Reardon for a review of the operating results. Tony?
Anthony Reardon: Thank you, Chris and thank you everyone for joining us today for our 2015 year end conference call. I’ll begin by providing an overview of our operations including some market color after which I will turn the call over to Doug Groves to go over our financial results in detail. Let me start by acknowledging that we had several one-time charges this quarter amounting to $91.3 million on a pre-tax basis that affected our overall performance. Approximately $57 million was related to a non-cash write-off of goodwill in our Structures business and roughly $33 million was related to a non-cash write-off of the LaBarge trade name along with $1.3 million in restructuring. Doug will go over this detail for the moment, but let me reiterate that approximately $90 million of these charges were non-cash in nature. Our management team has been extremely busy since the last earnings call over four months ago and the company has taken proactive approach to managing its product portfolio and aligning its businesses with the markets it serves. Given the challenging military environment and the volatile energy sector, we told shareholders last year that we would be decisive in reducing costs and focusing our energies on our core markets and products, particularly with the aerospace and defense sector. So what we accomplished in 2015 laid the groundwork for additional initiatives earlier this year, all to transform Ducommun into a more strategically focused streamline enterprise that can deliver unique structural and electronic solutions to our customers while providing higher returns to our shareholders. We've successfully cut overhead expenses, reduce headcount by some 12% over the past five quarters, consolidated multiple facilities in New York and closed an operation in Texas. We've also made additional moves to improve Ducommun's long-term growth trajectory and financial performance. The sale of our Pittsburgh facility and Miltec subsidiary sharpens our strategic focus providing for additional debt reduction and leaves us in a stronger position to invest in key aerospace and defense markets we serve. Pittsburgh with sales of approximately $42 million provided circuit card assemblies and other electronics primarily to industrial energy and medical markets. Miltec with sales of roughly $28 million provided engineering and program management services to the United States Department of Defense. Neither business was considered core to our growth plans and both will benefit from new owners with broader commitments to the customers they serve. The Pittsburgh sale was finalized in January and we expect the Miltec divestiture to be completed early in the second quarter. In addition, in this quarter we will close an administrative office in St. Louis. With such changes this year and last we reduced our non-aerospace and defense industrial business to approximately 10% of our sales going forward and then virtually eliminated all exposure to the volatile oil and gas market. We previously announced that our headcount reductions, streamlined actions and supply chain initiatives would remove some $6 million to $8 million of annualized cost from our operations and we're on track see many of these savings in fiscal 2016. These cost reductions will allow us to move closer to our historical growth and operating margin parameters. In 2015 we also refinanced our debt, lowered our overall indebtedness and reduced interest expenses substantially. We generated approximately $34 million of cash from operations last year excluding the $15 million [ph] used to refinance our debt and reduced total indebtedness from $204 million to $245 million from $290 million at the beginning of 2015. In addition, we are using the $50 million received from the Miltec and Pittsburgh divestitures to pay down debt even further. Our balance sheet is strong and getting stronger every day. So we're doing what we said we would do enacting strategic decisions and cost reduction initiatives that position the company for improved results going forward. The measures we've taken are meant to increase the company's asset utilization while concurrently reducing the volatility inherent in such industries as the energy sector. We will continue to assess our portfolio for further refinement and believe that the strong commercial aerospace demand along with greater stability across our military platforms should lead to higher results in 2016. But we are not pleased at all with our operating performance until 2015 in spite of the many accomplishments I just mentioned. We did experience a number of one-time issues which will not be repeated in 2016. Our team is highly focused to delivering strong operation and growth performance in 2016. We closed our 2015 sales of $666 million versus $742 million in 2014. This 10% shortfall primarily reflected a 21% drop experienced across the military and space markets, something we spoke about all last year. We also saw 4% decline in industrial business partially offset by a 3% increase in the commercial aerospace revenue. We will get into the specifics in a moment, but there are two important things to keep in mind going forward. First, we believe the defense spending across our platforms have stabilized such that the company should not see the type of severe program swings experienced last year; and second, we have actually taken measures to reduce our industrial and market exposure as we should and which would also lower the volatility for this year. Now let me provide some color on our end markets, products and programs. I'd like to start by noting a change in how we refer to our operating units to more clearly articulate the business they represent. We renamed Ducommun AeroStructures as our Structural Systems segment and our Ducommun LaBarge Technologies unit as the Electronic Systems segment. We believe that these name changes will add more clarity as we go to the market as one company. Turning to our military and space sector, let me reiterate that I mentioned just a moment ago, we see much greater stability here than last year which was extremely challenging due to the budget curtailments and spending decisions that impacted nearly all of our platforms. The reductions were beyond what we expected due to lower build rates and reduced overseas shipments. In fact, virtually no platforms saw growth in 2015 as lower spending impacted Fixed Wing programs and helicopter programs alike across both segments of our company. Our F-15 and F-18 radar rack shipments dropped sharply as did electronics and structural sales for Apache and the Blackhawk, although the latter remained our largest military platform with roughly $42 million in revenue. As I said last year, these steep year-over-year declines have reset the base level for our defense related operations and we have rabidly worked to catch up and keep pace with the lower overhead absorption at our facilities by streamlining processes, reducing headcount and working capital and consolidating where possible. These efforts will continue in 2016. It is too soon to say what demand trends will play out this year and next, but Ducommun is dedicated to rightsizing our operations for a lower overall level of defense spending. Moving to our commercial aerospace business, total revenue last year rose to just under $250 million, that's our highest level ever. The growth was driven primarily by large fixed wing aircraft where revenue expanded 5% to a record $144 million. But our growth in 2015 is only part of the story. More importantly, we ended the year with a record backlog of just under $270 million across the commercial aerospace sector. That is up from $250 million in Q3 and $230 million a year ago. The story here is one of strength and diversification that is expected to drive higher growth in the quarters and years to come and we want a number of new applications in 2015 cementing our position on some of the best aircraft in the industry. As a reminder, our largest commercial platform is the 737 and Boeing's plan to increase the 737 max output to approximately 57 chipsets a month by 2019 represents a tremendous growth opportunity for Ducommun. So while the near-term impact of the transition for both the 737 and the 777 onto their next-generation models may be a little bumpy, the story will accelerate our top line growth in the coming years. Also for 2016 Boeing is increasing their production of 787 from 10 aircraft a month to 12 aircraft a month providing a further boost to our expected growth this year. We continue to work on expanding our business with Airbus and are optimistic about additional content on both the A 320 NEO and A350 aircraft as well as other platforms going forward. We also made substantial headway in winning new content with engine suppliers and OEMs last year leveraging our proprietary composite technology and our tightening [ph] structural applications. In total we have over 30 new development programs in place and we expect we will begin to positively impact Ducommun's top line later in 2016 and accelerate into 2017 driven by a step up in several platform build rates. Our wins last year included a 10% growth in aerospace electronics content positioning us for more complex value-added assemblies going forward. We also expect helicopter sales and regional business jet revenue to mirror 2015 bringing some stability to these platforms. So overall our commercial aerospace outlook is brighter than ever. Lastly, in our industrial defense business and our industrial business is now smaller than last year as I previously mentioned due to the divestitures and other actions. Given our lack of exposure to the energy markets, we anticipate 2016 to be a more stable year in the remaining areas that we serve and while we try to grow this business as our business development initiatives focused on higher complexity industrial applications we are very comfortable with the businesses that we serve now in the industrial segment will continue to grow as we go forward. Before turning the call over to Doug, let me just comment on some recent management changes here at Ducommun. First, we're glad to have Doug Groves as our Chief Financial Officer and Treasurer. Having taken the reins on January 01, Doug has been a great asset already and proven to be a resourceful thinker as we tackle many of the strategic decisions needed to improve the company going forward. I would also like to thank Joel Benkie for his service to Ducommun. As we previously announced, he has decided to retire at the end of the quarter. Joel has been instrumental in many changes at the company and deserves credit for redesigning the way we think strategically about operational excellence and capacity utilization. We wish him the best going forward and I will be personally managing his responsibilities for the time being. With that, now I'd like to turn the call over to Doug.
Douglas Groves: Thank you, Tony and good day to everybody. Net sales for the fourth quarter of 2015 were approximately $156.6 million, roughly 16% lower than the comparable quarter of 2014. The revenue decline reflected 19% lower revenue in the company's military and space markets mainly due to a decrease in U.S. defense spending as well as procurement delays and a shift in program priorities that impacted the company's fixed wing and helicopter platforms. In addition, the overall year-to-year top line shortfall reflected 20% lower revenue in the company's industrial end-use markets. This was mainly due to the closure of the company's Houston manufacturing center during the quarter and 12% lower revenue in the company's commercial aerospace end-use markets primarily reflecting delays in the timing of certain regional jet orders. That said, we continue to experience solid commercial aerospace demand due to the current build rates and increased content, such that during the quarter we saw significant growth in our commercial aerospace backlog. New orders, both Structural and Electronic Solutions drove our backlog here to the highest level in our history just under $270 million as of year-end as Tony mention. Moving to gross profit, our gross profit margin was 14.6% in the fourth quarter as compared to 17.9% in last year's comparable quarter. This reflected the lower sales and reduced operating leverage even as we continue to realize supply-chain cost savings and other efficiency improvements. Given the rightsizing initiatives being implemented at the company, we expect to see gross margin improve as the year plays out and return to the historical levels in the 18% to 19% range particularly as our customers new platforms gain momentum in later 2016. Ducommun's operating loss for the current quarter was approximately $88.6 million compared to an operating income of $10.1 million or 5.4% of revenue for the comparable period in 2014. The year-over-year decrease was primarily due to an impairment charge of $57.2 million for the entire goodwill within our Structural Systems segment as a result of the company's annual goodwill impairment analysis and an impairment charge of $32.9 million related to the LaBarge trade name as we no longer plan on using it. Both of these charges were non-cash in nature. The operating loss in the fourth quarter was also impacted by inefficiencies resulting from lower manufacturing volume of approximately $5.7 million and the prior year included a nonrecurring $3.4 million reversal of a forward loss reserve as a result of a customer settlement that did not reoccur in 2015. The fourth quarter also included a $1.3 million restructure charge related to our facility rationalization initiatives. Excluding the impairment charges and the restructure charges the current quarter operating income would have been $2.8 million or 2% of revenue. Our interest expense decreased $2.2 million in the fourth quarter of 2015 compared to $7 million in the previous year's fourth quarter primarily due to a lower outstanding debt balance and reduced interest rate as a result of the company's refinancing in July of 2015. We estimate interest expense will be approximately $2.2 million in the first quarter of 2016. Our effective income tax benefit during the quarter was $26.6 million or 29.5% compared to 27.8% income tax benefit for the comparable period last year. Going forward, we expect the effective tax rate for 2016 to average approximately 29% now that the Federal R&D tax credits have been made permanent. We reported a net loss of $63.6 million or a loss of $5.74 per share compared to net income of $5.2 million or $0.46 per diluted share in the fourth quarter of 2014. The decreased to a net loss was primarily due to the impairment charges, the forward loss reversal in 2014, the restructure charge and lower operating leverage due to reduced manufacturing volume which was partially offset by the income tax benefit as previously mentioned. Adjusted EBITDA for the fourth quarter of 2015 was $11 million or 7% of revenue compared to $19.4 million or 10.3% of revenue for the comparable period in 2014. Now let's turn to the segment results. Our Structural Systems segment posted revenue of $61 million in Q4 of 2015 versus $78.3 million in the prior year period. The lower revenue was primarily due to a 37% decrease in military and space revenue. This reflected a decline in demand for military fixed wing and helicopter platforms and a 14% decrease in commercial aerospace revenue reflecting delays in the timing of certain regional jet orders. Our Commercial sales were down in the quarter. We ended 2015 with a record backlog of $224 million in this portion of our structured business underscoring the strength of the demand and the outlook for 2016. With the stabilization of the military business in this segment, we expect the current quarter revenue to be a run rate for the next few quarters, until our previously announced commercial aerospace wins come online in late 2016. The Structural Systems unit an operating loss for the fourth quarter of $56 million compared to operating income of $6.9 million or 8% of revenue in the fourth quarter of 2014 and this was primarily due to the previously mentioned $57.2 million goodwill impairment charge, loss of efficiencies resulting from lower manufacturing volume of approximately $2.8 million, the previously mentioned nonrecurring forward loss reversal in 2014 of approximately $3.4 million and a $1 million restructuring charge in this segment in the quarter. Excluding the impairment charge and restructuring charge, the operating margin from this segment would have been $2.2 million or 4% of revenue in 2015. Adjusted EBITDA was $4.7 million for the current quarter or 7.6% of revenue compared to $10.5 million or 13.5% of revenue for the comparable quarter in 2014. Moving to our Electronic Systems segment, we posted revenue of $95.6 million in the fourth quarter versus $109.3 million in the fourth quarter of 2014. The lower revenue was primarily due to a 20% decrease in industrial revenue reflecting the closure of our Houston operations and 10% decrease in military and space revenue mainly due to the decline in demand for military fixed wing and helicopter platforms. For 2016 the divestitures of our Pittsburgh and Miltec operations as well as our Houston facility closure will reduce 2016 full your revenue within the Electronic Systems segment by approximately $80 million. However, it virtually eliminates the company's exposure to volatile energy market. On a pro forma basis, excluding these operations, Electronic Systems would have posted revenue of $313 million in 2015. Electronic Systems have an operating loss for the fourth quarter of $27 million compared to operating income of $8.5 million or 7.8% of revenue in the fourth quarter of 2014. This reflects the previously mentioned LaBarge trade name impairment charge of $32.9 million, lost of efficiencies resulting from lower manufacturing volume of approximately $2.9 million and $300,000 restructuring charge related to the site closures. Excluding the impairment charge, the restructure charge, the operating margin from this segment would have been $6.2 million or 6.5% of revenue. The adjusted EBITDA was $11.3 million for the current quarter or 11.8% of revenue compared to $13 million or 11.9% of revenue in the fourth quarter of 2014. Corporate general and administrative expenses for the fourth quarter of 2015 were $5.6 million or 3.6% of total company revenue versus $5.3 million or 2.8% of revenue in the comparable quarter of 2014. Corporate general and administrative expenses increased slightly due to the higher professional service fees of approximately $1 million related to the Pittsburgh and Miltec divestitures which was offset by lower compensation and benefit costs of approximately $700,000. Now turning to our overall backlog at the end of the fourth quarter which was $546 million versus $553 million at the end of the third quarter as the significant increase in the commercial aerospace orders was offset by a decline in the defense and industrial bookings. Regarding liquidity and capital resources, we generated approximately $23.7 million of cash from operations in 2015 including the use of approximately $15 million to refinance our debt in mid-2015. Excluding the debt refinancing cost, we generated approximately $34 million in cash from operations compared to $53 million in 2014. We remain diligent with effective working capital management and expect our net cash profile going forward to reflect historical seasonal patterns. Also during the fourth quarter, we entered into an interest rate cap hedge totaling approximately $135 million which decreases our exposure to interest rate increases going forward. We will be using the net proceeds from the divesture of Miltec and Pittsburgh of approximately $50 million to pay down debt in 2016 and we continued toward our goal of deleveraging to targets of 2.25 to 2.5 times of debt to EBITDA over the next few years. We expect to exit the first quarter of 2016 with approximately $200 million in debt. Capital expenditures in 2015 were approximately $16 million. Our CapEx spending reflected the consolidation and expansion of our upstate New York operations resulting in a state-of-the-art advanced titanium product Center of Excellence. We expect CapEx to be approximately $18 million in 2016 as we continue to invest in new programs and prepare for the next generation platforms that are ramping up later this year. In closing, we continue to focus on managing the changing mix of our business, our taking decisive actions to streamline operations as evidenced by the two divestitures announced this quarter. We believe commercial aerospace demand will fuel higher revenue this year and that our defense related businesses will be more stable going forward versus the sharp declines we experienced in 2015. At the same time, as Tony mentioned, we will look to drive margin expansion, cash flow generation and further reduce debt. Our cost cutting activities will continue as we remain committed to improving financial results in 2016 and beyond. I'll now turn it back over to Tony for his closing remarks. Tony?
Anthony Reardon: Before turning the call over to questions, let me briefly summarize our strategic priorities as we begin 2016. If last year was the year of transition exemplified by lower debt, the strengthening of our balance sheet and cutting costs and strategic assessment of our operations, then the coming year is one of action and growth. We've already taken decisive steps to shed non-core underperforming assets and will as I have stated close an additional facility this quarter. The company is focused on providing unique value-added electronic and structure solution to the aerospace, defense and other high technology markets and will continue to benefit from the strong commercial aerospace cycle and increasing build rates going forward. We paid down debt and we will continue to do so based on our solid cash flow projections leaving us with an even stronger more flexible balance sheet this year. We will also strive to reduce working capital, increase asset utilization and expand margins as we review our operations and product portfolios for additional efforts to focus the company and drive increased shareholder value. The bottom line is that we did what we said we would do in 2015 and position the company for stronger growth and improved bottom-line results going forward. With our commercial aerospace program is on track for continued expansion and stability across our defense markets, we believe the company is in good shape to take advantage of the numerous opportunities across old and new customers alike. We are a focused unique provider of cutting-edge aerospace technologies with strong client relationships and a reorganized business development team dedicated to executing on a variety of growth initiatives. And with that, Karen I would now like to open up the call for questions please.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Mark Jordan from Noble Financial
Mark Jordan: Good afternoon gentlemen. First I wanted to clarify, did you say a few eliminate all the non-normal items to structures fourth quarter operating margin was at 4.4% you said?
Douglas Groves: Yes, I think that’s the number Mark.
Mark Jordan: Okay, now in the past we had looked that within that structures group was running the way you wanted to that operation should show, sort of 9% operating margins plus or minus given where you were on an adjusted basis 4.4% in the fourth quarter and you are looking for relatively flat sequential structures revenues for the first couple of quarters. Should we assume that operating profit number would be in that sort of mid single digit range for the first couple of quarters and then improve as your volume improves in the second half and going into 2017 towards that sort of 9% goal that might be a 2017 target?
Douglas Groves: Yes, no. Mark, we had a couple of things in the fourth quarter that drove quite a bit of unabsorbed overhead, one of which was all the move activity of our New York operations to, consolidate those facilities and then we had another facility that shutdown for a longer than normal period of time to make some required repairs and maintenance. So, we fully expect that as we walk into 2016 for our structures business we're getting back to that 8% to 9% range.
Mark Jordan: So you believe you can still, you approach that type of range in the early quarters of the year despite the lower revenue numbers that you've talked about?
Douglas Groves: Yes it will ramp through the year because as we mentioned lot of the growth that we see comes in the second half and the latter part of 16. So, it will start lower in the first quarter and continue to gain momentum through the year.
Mark Jordan: Okay, you did mention that you were going to invest the $50 million in proceeds from the two business sales early this year in debt reduction. Do you have a target for additional debt paid downs in 2016 on cash generated from operations?
Douglas Groves : Yes, I mean we see ourselves continuing to pay down that $25 million a year and debt based upon, our go forward plans in addition to the proceeds we talked about from the sale of the two businesses. 
Mark Jordan: Okay, final question for me is average part of the non-cash charge was amortization writing down some intangibles, how much of an annualized impact will the write offs that occurred in the fourth quarter lower amortization charges in 2016?
Douglas Groves: Well, very, very small piece, because the vast majority of the goodwill and the trade name were indefinite lived [ph] assets, so they weren’t amortizing through to the P&L.
Mark Jordan: Okay, thank you very much.
Douglas Groves: Thanks Mark.
Anthony Reardon: Thanks.
Operator: Thank you. And our next question comes from the line of Edward Marshall from Sidoti & Company.
Edward Marshall: Good afternoon.
Anthony Reardon: Hi, Ed.
Edward Marshall: Hey. So I wonder you made a comment about the commercial business and the decline and you see that as the run rate for the next couple of quarters. I wanted to get the same kind of response from you may be on the military, do you think this is the run rate on a go forward for the next couple quarters as the military as it is for the commercial aerospace?
Douglas Groves: It should be very similar Ed to what we saw third and fourth quarter.
Edward Marshall: There are no additional step downs, I know you said the military business was somewhat stable at this point?
Douglas Groves: Yes, we don’t see any additional step-downs right now. We see its steady state in Q1 in particular, since steady state from Q4.
Edward Marshall: Okay. You had a bunch of cost revisions and you mentioned the $6 million to $8 million, but there was some additional restructuring I think in the fourth quarter here. Can you add up for me kind of the episodes, the events that you did in 2015 and what that new cost structure, the cost that you actually took out in 2015 in total, is that I think its higher than $6 million to $8 million, can you just kind of walk me may be through that?
Douglas Groves: Sure, Ed. So we announced at the end of the second quarter that we were taking some headcount reductions and had kicked off our supply chain initiatives which was going to be in the sort of $4 million to $5 million range and then in the third quarter, we took a small restructure charge of about $800,000 and that was really aligned with closing the Houston operations in St. Louis for which we said we would see an annual cost savings of $2 million to $3 million on those facility closures. And then the restructure charge in the fourth quarter of $1.3 million was largely around the consolidation of the New York facility as well as some continued headcount reductions and we have said that would yield a savings of about $3 million to $4 million. So if you aggregate those numbers up, it’s about $9 million to $12 million on an annualized basis recognizing that we’re in various stages of implementing each of those things. So Houston just closed at the end of the year, the St. Louis operation doesn’t close till the end of this quarter. So once we flush through everything that would be the range that we’re expecting.
Edward Marshall: And what was the additional supply chain optimization?
Douglas Groves: Yes, so the supply chain optimization is what we kicked off and announced at the end of Q2 and that was $4 million to $5 million, but again bearing in mind a lot of this is just offsetting some of the volume reduction, so it’s not necessarily just additive to the bottom line.
Edward Marshall: Got it. And then when I look at just a point of clarification, I look at the goodwill and the impairment charge, are they – are those both taxable events as it relates to, I know sometimes they can run through non-taxable?
Douglas Groves: Yes there was a small impact in our income tax expense for the books this year, but largely no, there weren’t a big taxable event for us.
Edward Marshall: Okay. And then the fully diluted share counts on adjusted basis, I’m assuming that isn’t fully dilutive at 11084 [ph] so closer to 11.30?
Douglas Groves: Yes under GAAP because we had an operating loss, we don’t show fully diluted, but in a profit situation, the share count would be closer to probably that 11.3.
Edward Marshall: Okay. And then finally do you have anything on the MAX yet that you can kind of talk about from a content perspective, we mentioned that is a growth program for you, so I assume that there is something running through the lines?
Douglas Groves: Yes, so Ed on the MAX, first of all I won’t say 95% of the applications that we have on the 737 are transferring over to the MAX and then so we picked up new applications in the missile, the ducting system, we have a couple other applications that we’re working on. So we’ve increased the ships that rate on the 737 going forward with the MAX.
Edward Marshall: Could you kind of give me a for instance percent of maybe the old 737 was 100%, what was the – what is the new rate?
Douglas Groves: The new rate is probably 110% to 115% when we get done, when we get done with the development.
Edward Marshall: Sure, okay, great. Thanks very much.
Operator: Thank you. And our next question comes from the line of Mike Crawford from B. Riley & Company.
Mike Crawford: Thank you. You talked about the military business being flat this year after being down 21% last year which was greater than you thought. Given the budget request for some potential severe reductions in helicopters, how do you position yourself to that given even though Congress is likely to mark up those numbers a little bit, is it fair to assume there should be some further military reductions in 2017?
Douglas Groves: You know maybe in 2017 we might see a small drop off we just, we are at a conference, the biggest helicopter hit is the Blackhawk and we have just added Sikorsky last week and they are reiterating what they believe will be the build rates which are not too far off the existing forecast that you have like say in [indiscernible]. So we think there may be a slight down draft, but I think that what we'll see coming out of Congress is something much stronger than what the President has asked for.
Mike Crawford: Okay.
Douglas Groves: Let me tell you this, we will adjust the manufacturing overhead cost to make sure that on the reduction of sales we will do, we have to do in order to maintain the cost base.
Mike Crawford: So Tony, similarly you’re seeing reductions in F-15 and F-18 radar rack shipments, now with a third offset where future procurements are going to be more technological in nature and maybe low cost, high quantity platforms like drones are you positioning to comment, address that need or are you?
Anthony Reardon: We are working with - on the drone side of the business we have limited ISR [ph] applications, but we have positioned the company to be more involved in that as we go forward, but I can’t point to any specific major applications that we picked up recently.
Mike Crawford: Okay. And then separately in the 10-K you did provide as in the past the end use segment detail for the backlog, but not I believe for sales for 2015 is that correct?
Douglas Groves: No, we’ve got it in there for sales in the 10-K.
Mike Crawford: Okay. Maybe Doug I will check with you later because I can see it for 2014 and 2013 but not for 2015.
Douglas Groves: Sure yes, we can give you that information. Q - Mike Crawford Okay. And then final question just relates to what you think your historical operating margin parameters should be for the whole business going you said you wanted to get back to that, so how do you view that now?
Douglas Groves: Well, I think again, this year clearly had a lot of noise in it but if you roll back to like 2014, that is what we would kind of say where the operating margins had been into the segments and for the business in general. So we’re as we think about our GP and our SG&A together getting back to that – the levels where we’re at in 2014, so that is 10% range for the company as our the right operating margin number for the company. We see it ramping up as the quarters go on. Historically the first quarter has been a little bit lower in revenue base and then they pick up going forward. So we think the margins will increase as we get towards the year end.
Mike Crawford: Okay. Great, thank you.
Douglas Groves: Thanks Mike.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Ken Herbert from Canaccord.
Ken Herbert: Hi good afternoon.
Douglas Groves: Hi Ken.
Anthony Reardon: Hi Ken.
Ken Herbert: Hi Doug or Tony, if you could provide any more detail on, I know you don’t give official guidance, but how should we think about free cash flow in 2016 with obviously you’ve taken out a lot of cost, you closed facilities, you like you said Doug a lot of moving pieces, what is the profile of free cash into 2016 and maybe what is the upside and a few of other key moving pieces?
Douglas Groves: Yes, so I think we will start to really bear the fruit of the supply chain initiatives starting in the second half of 2016. There was lot of work that got off the ground in the second half of 2015 and we’re looking at cash flow from operations probably and based upon this volume that we’re anticipating in the $35 million to $40 million cash flow from operations range and then obviously take off that our CapEx that we have said we’re expecting somewhere around $18 million just a slight uptick from where it was in 2015.
Ken Herbert: Okay. So as I think about then, I think you said about $3 million to $4 million from the supply chain or procurement other initiatives, should we expect coming out of 2016 those are all sort of tailwinds setting into 2017 or do you think part of this effort now spills from the restructuring spills into 2017 as well?
Douglas Groves: No, I think it’s, we've got most of it, but we are never done, I will just say that whether it is supply chain savings or looking at our cost bases as Tony referred to as we see volume starting to move around. We will do whatever we have to maintain those margins but for the initiatives that we kick off in 2015, we should start to really see the fruit of that labor in the second half of 2016.
Anthony Reardon: We should see a full complement of what we've started Ken by second half, let’s say going into the fourth quarter.
Ken Herbert: Okay, okay. So getting into the fourth quarter so the end of you are expecting sort of at least two to three quarters of incremental benefit then heading into 2017?
Anthony Reardon: Yes.
Ken Herbert: Yes okay and then Tony, on the portfolio, you've clearly done a lot, you have been pretty busy over the last few months certainly and it looks like the increased focus or mix of A&D should benefit as those markets churn on the defense side in particular. How should we think about the portfolio now and I know you’ve alluded to a few things, are you happy with the portfolio is more do you think you might want to look divesting or anything else you could say strategically how you think about the business now?
Anthony Reardon: Sure, and I think that right now I think Ken, we are really happy with the portfolio we have in front of us. We are always taking a look at opportunities. I think that where we are focusing now is on the opportunities may be to consolidate that if we have that we are not going to be – applying that do any of that in 16, but as we look forward, but I think we’ll start looking for acquisitions probably later on at the end of this year to start looking to see if we can find complementary acquisitions to build the portfolio, but as far as the current portfolio we have, I believe we are pretty well set right now.
Ken Herbert: Okay. And then just finally on the 737 as you talk about the share gain and to support the MAX and you talk about rate 57 in 2019, where are you from a capitalization standpoint or CapEx to support that? Do you have the CapEx to in place to support rate 57 or is there incremental investments you are looking at?
Douglas Groves: No, we will have incremental investments both in equipment and probably in facilities in order to be able to support the uptick and that also includes the pick up that we see with the Airbus programs that we won or are winning.
Ken Herbert: Okay, so is it fair to say that your you may be invested to support, because I know the 37 steps up again in 2017 or you so you’re looking at fairly steady I guess investment to support as the rate goes from 47 to 52 to 57 over the next three years is that a may be a fair way to look at it?
Anthony Reardon: Yes.
Douglas Groves: Yes for sure. Now there will be heavy investment in 2016 and 2017 to ensure we get those rates.
Ken Herbert: Okay, that’s great. All right, thank you very much. 
Douglas Groves: Thank you.
Anthony Reardon: Thanks.
Operator: Thank you. And our next question comes from the line of Christopher Van Horn from FBR and Company.
Unidentified Analyst: Good afternoon guys. This is [indiscernible] on the line for Chris. Just a quick couple questions on backlog, first of all is there any way you could give me a sense within the commercial aerospace breakout, which I know you mentioned is about $269 million. Is there any way you can give me a sense of what parts of that or sort of I mean, wide bodies and what's regional and maybe what's sort of single isle in there?
Anthony Reardon: We don’t break out single aisle per se.
Unidentified Analyst: Sure, okay so how about can you, I mean I’m just sort of looking at the regional jet write off and I’m wondering what kind of activity you are seeing there in that specific market and how may be your sales mix might be changing going forward?
Douglas Groves: We anticipate if you just take Dan, if you just take 2015 revenue we should be pretty stable in 2016 and so – lot of change in any of the markets so, we did have some schedules like as we talked about on the regional jet market, but we think we will be pretty stable.
Unidentified Analyst: Okay, great. Thank you for that. And then secondly, in terms of again the backlog, I know you got about 16.1 here its I’m looking at 10-K, got about $16.1 million that’s left from the Pittsburgh and Miltec and do you think you could give me a little more clarity on what exactly is in the natural resource of industrial medical segments because I think that comes to about closer to $50 million so do you think you could just sort of talk me through what’s in there that’s not in Pittsburgh and Miltec.
Douglas Groves: Dan, may be sure I understand your question so, you’re asking how much in industrial backlog is not Pittsburgh.
Unidentified Analyst: Yes because I see that you've got $16.1 million and that includes Miltec and Pittsburgh right and then natural resource is about 8.5, industrial is about 17.4, medical is about 23, where does that 16.1 sort of breakout between those three is just I guess is my question?
Douglas Groves: Yes, so most of that comes out of industrial, the Pittsburgh business is about 70% industrial and say 20% natural resources about 10% medical so going to come out in those buckets?
Douglas Groves: Okay, Miltec was all military.
Unidentified Analyst: Yes, yes, great. Okay guys, thanks for that. I'll jump back in queue.
Anthony Reardon: Okay, thank you.
Douglas Groves: Okay.
Operator: Thank you. And our next question is a followup from the line of Edward Marshall from Sidoti.
Edward Marshall: Hey, there was a change in the deferred tax, what was that related to?
Douglas Groves: That was, there's two things, if you look at the balance sheet Ed, we reclassed, we had in the prior year about $13 million as a deferred tax asset, there's a new accounting pronouncement that came out that said you could net it all down in the deferred tax liabilities. So the big change $13 million of that was just a reclass out of the deferred tax asset down into the deferred tax liability and then the other piece, call it about $30 million was related to the goodwill write off and the trade name impairment. So, about $30 million of deferred tax is related to that $90 million write off that drove down the deferred taxes.
Edward Marshall: And that's what ran through the – it was the goodwill in the impairment that ran through the cash flow statement?
Douglas Groves: Yes, it gets added back in the cash flow statement. So when you look at our net loss for the year, since it is a non-cash charge of that.
Edward Marshall: Okay, and what was the, what is your expectation for depreciation and amortization for 2016 as a total?
Douglas Groves: Yes, so we'll continue to probably have about $10 million in amortization related to the intangibles and then about $16.5 million in appreciation which is our sort of average CapEx amount that we incur from year-to-year, so about $26 million in total.
Edward Marshall: Okay and the inefficiencies that were related to the moving expenses in the extended shutdown for repair was that in the structure segment, could you quantify that?
Douglas Groves: Yes, so I think in our prepared remarks we had about $2.8 million of inefficiencies in the structure segment in the in the quarter related to that unabsorbed overhead.
Edward Marshall: Got it, okay thanks very much.
Operator: Thank you and that concludes our question-and-answer session for today. I would like to had the conference over to Mr. Reardon for any closing remarks.
Anthony Reardon: Thank you and I want to thank everybody for joining us today and your continued support and interest in Ducommun and we look forward to speaking to you next quarter. Thank you very much.